Operator: Good day, ladies and gentlemen, and welcome to the 2025 Fourth Quarter Genpact Limited Earnings Conference Call. My name is Carmen, and I will be your conference moderator for today. We will conduct a question and answer session towards the end of this conference call. As a reminder, this call is being recorded for replay purposes. The replay of the call will be archived and made available on the IR section of Genpact's website. I would now like to turn the call over to Krista Bessinger, Head of Investor Relations at Genpact. Please proceed.
Krista Bessinger: Thank you, operator. Good afternoon, everyone, and welcome to Genpact's Q4 2025 Earnings Conference Call. We hope you have had a chance to read our earnings press release posted on the Investor Relations section of our website genpact.com. Today, we have with us Balkrishan Kalra, President and CEO, and Michael Weiner, Chief Financial Officer. BK will start with an overview of our results, and then Mike will cover our financial performance in greater detail before we take your questions. Please note that during this call, we will make forward-looking statements, including statements about our business outlook, strategies, and long-term goals. These comments are based on our plans, predictions, and expectations as of today, which may change over time. Actual results could differ materially due to a number of important risks and uncertainties, including the risk factors in our 10-Ks and 10-Q filings with the SEC. During this call, we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our earnings press release. These non-GAAP measures are not intended to be a substitute for our GAAP results. More details on our constant currency growth rates can also be found in our earnings press release and fact sheet, which are posted to our investor relations website. And finally, this call in its entirety is being webcast from our Investor Relations website, and an audio replay and transcript will be available on our website in a few hours. And with that, I would like to turn it over to BK.
Balkrishan Kalra: Hello, everyone. And thank you for joining us today. We delivered a strong close to a record year for Genpact. Focused execution, accelerating innovation, and broad-based demand drove $5.08 billion in revenue, up 6.6% for 2025. Advanced Technology Solutions revenue grew 17% to $1.2 billion, now accounting for 24% of our total revenue. We also delivered another year of healthy margin expansion. Gross margin expanded 60 basis points, and adjusted operating income margin improved 40 basis points, even with our significant investments for long-term growth. Adjusted diluted EPS increased 11% faster than revenue for the fifth year in a row. In 2025, we built a strong foundation to drive sustainable, long-term growth, with a deliberate focus on rapidly scaling data AI and domain-driven identity solutions to reimagine how clients operate. The shape of our business is meaningfully changing as a result. Our performance, pipeline, and prospects are increasingly higher quality and strategically aligned with our prioritization of advanced technology solutions and agentic-led work. We delivered over $5.5 billion in new bookings, with healthy growth in advanced technology solutions, which now account for more than a third of total bookings. We won 16 large deals and continue to make progress with the next generation of market disruptors. We are in a very strong position as we enter 2026. Demand is healthy and growing. Our inflows and pipelines are robust, and our backlog has never been higher as more clients see Genpact as a long-term strategic partner to transform their mission-critical operations. 2025 was a year of intentional disruption and tremendous achievement. As I look back, I am most proud of what we have built, launched, and scaled with our agentic solutions. We are fundamentally reshaping how businesses operate, and we are doing so at speed. Last February, we launched AP Capture, the first module in our accounts payable agentic suite, with AP Advance and Assist made available in June. While it is still early days, we have closed over $200 million in total contract value just for our AP agentic solutions. Within that, over 40% of awarded contract value came from new clients. And for existing accounts that have rotated from FTE-led to AgenTik, both revenue and gross margin expansion are notably above what we reported at Investor Day last June. With AP Suite, we have built the playbook for delivering sustainable, expanding value for clients and for Genpact. And we are just getting started. Our strong product roadmap of multiple domain-specific solutions, like AP, are clearly aligned to our areas of operational expertise. The insurance policy and record-to-report agentic suite that we announced late last year are just a couple of examples. We believe the most successful companies will be those that leverage AI to achieve higher levels of autonomy and redefine how they run their businesses. Genpact is shifting the paradigm of how knowledge work gets done. We are pioneering a new operating model. We call it agentic operations. Agentic operations move beyond automation to a collaborative model between agents and human experts through three main pillars. One, domain-specific agents that autonomously execute tasks in reimagined processes. Two, last-mile experts that validate exceptions, train and advance models, and reinforce learnings. And three, clear roles, skills, and governance underpinned by responsible AI. Agentech operations move from human process, human validated, machine processed, human validated. As we enter 2026, a new Genpact is taking shape. We are setting the standard for AI-led transformation. We are uniquely positioned to help clients reimagine the most critical components of their journey. From fundamentally redesigning end-to-end processes to building data and AI capabilities to operating at scale through agentic collaboration. The opportunity ahead is significant. AI is rapidly evolving from generating insights to executing actions, and CXOs face a clear business imperative. Translate AI and agentic investments into measurable financial outcomes. In the US alone, the work of more than 70 million knowledge workers will be transformed by seamless collaboration between AI agents and human expertise. And research indicates that enterprise app integration with domain-specialized agents that are built on last-mile expertise will increasingly become the norm. It is clear. Enterprise transformation demands a parallel focus on process reengineering, data modernization, agile tech architecture, with AI embedded at its core, and the discipline to unlearn legacy ways of working. This is exactly where Genpact shines. And where we continue to differentiate. Through our Genpact Next strategy, we are expanding our capabilities, clients, and catalysts to capitalize on this meaningful opportunity. And moving from meeting clients where they are to getting clients where they want to be. Let me walk you through key highlights for each. First, our capabilities. Advanced technology solutions grew to $1.2 billion, contributing more than half of total revenue growth in 2025. Demand for our data and AI expertise is increasing rapidly, with our investments accelerating our ability to deliver. Our AI Gigafactory continues to scale. We now have more than 400 GenAI solutions in the market, either deployed or going live. Up nearly three times from last year. And recently, we introduced AI Maestro, a software platform that helps AI builders and AI practitioners embed AI into last-mile processes at a much faster pace. Innovations like these are significantly increasing our set, with our data and AI pipeline up 50% year over year. AgenTeq has grown more rapidly than any other offering in Genpact's history. Our agentic solutions are clearly resonating, demonstrated by traction with new clients, as well as higher volumes and increased scope with our existing accounts. Core business services continued to grow, increasing 3.7% in 2025. Clients look to us to run their mission-critical operations at scale and do the foundational work necessary for AI transformation later. Because they know there is no artificial intelligence without process intelligence. Our deep domain and industry experience reinforce our competitive position and amplify demand for our advanced technology solutions, especially with large strategic engagements. Coming into 2026, we have been awarded more large deals than at the beginning of any prior fiscal year, further demonstrating how clients trust Genpact to drive real business outcomes. Next, clients. Clients choose Genpact because of our ability to combine data, AI, and AgenTeq with nearly three decades of experience running core operations. Let me walk you through a couple of examples to illustrate. The first demonstrates how our core business services position us to guide clients through their broader AI-led transformation. Humana is a leading American health and well-being company primarily focused on offering a wide range of healthcare services and insurance products. They are a long-standing digital operation client in finance and accounting. Recently, we expanded our partnership to support Humana's AI-enabled transformation across revenue cycle management, procurement, and, of course, finance and accounting. We are leveraging our deep process intelligence and last-mile knowledge to drive efficiency and consistency through process redesign and operating model improvement. Over time, we see the opportunity to support more advanced AI-enabled operating models, including agentic operations. This aligns directly with Humana's enterprise transformation and AI strategies and creates a pathway for Genpact to become a key partner to Humana's future workforce. The next example is Vesco, which shows just how quickly agentic operations can scale and generate meaningful outcomes. Vesco, another Fortune 500 company, and leading provider of business-to-business distribution, logistics, services, and supply chain solutions, has partnered with Genpact to reimagine their finance function, including an overhaul of their AP process. At our Investor Day in June, Vesco's CFO spoke about their comprehensive process and technology transformation. We transitioned their entire AP and procurement organization onto a unified platform and automated their end-to-end process with pre-trained outcome-oriented agents. Since June, we have made even more progress to drive better accuracy, faster cycle time, and an elevated supplier experience. Vesco has improved touchless processing of their 3 million invoices from 40% to 65%. They have also now implemented AP Advance, with plans to implement AP Assist soon. HFS research highlighted our work with Vesco as evidence that accounts payable is no longer just a back-office function. Instead, it is becoming a frontline for enterprise AI, providing a foundation for real-time visibility and agility across the finance enterprise. These are just a few of the success stories we have seen this past year. And finally, Catalyst. In 2025, partner-related revenue grew nearly 50% year over year. Partnering with companies like AWS, Microsoft, GCP, and Databricks is accelerating our ability to drive AI-led transformation. We are embedding domain-led solutions into their tech stacks with joint go-to-market efforts and roadmaps, setting us up to rapidly scale our execution. We also continue to invest aggressively in AI talent, through both hiring technology experts and intentionally training and upskilling our teams. Now with over 7,000 AI builders and nearly 20,000 AI practitioners, we are quickly building a future-ready workforce that can innovate, collaborate, and drive impact at scale. Looking ahead, 2026 will be a pivotal year for Genpact. Building on the momentum of Genpact Next, we expect to deliver another year of strong, high-quality results. Revenue growth of at least 7% year over year will be powered by advanced technology solutions growth, in at least the high teens. We will continue to aggressively invest in our technology solutions, expanding product development across AgenTic, data, and AI, and strengthening our sales and partnership ecosystem. Even with these significant investments, we are committed to again deliver healthy margin expansion. Finally, we expect to drive another year of double-digit adjusted EPS growth while continuing to return a significant portion of operating cash flows to our shareholders. In closing, let me leave you with a quote from one of our recent tech hires that perfectly captures why we are so excited about this new era. Genpact offers an incredibly unique opportunity to help customers move past the era of AI novelties and into the era of last-mile agent AI. Customers are realizing we can do what others cannot. We bring technology and process into the same room, connecting deep functional and industry understanding, proprietary data, AI, and agentic systems to truly integrate AI and transform their businesses. With that, let me turn the call over to Mike.
Michael Weiner: Good afternoon, everyone, and thank you for joining us today. We delivered a strong fourth quarter that exceeded our expectations, underscoring the progress we have made throughout the fiscal year. As we consistently execute across our businesses, momentum from Genpact Next Strategy continues to build, demonstrating our strategic investments are paying off. In the fourth quarter, total revenue increased 5.6% to $1.319 billion. Advanced technology solutions revenue, which includes data and AI, digital technologies, advisory, and agentic, increased 15% to $323 million, with particular strength in data and AI. Our advanced technology solutions continue to create incremental value for our clients and generate higher value revenue for Genpact, delivering more than two times the revenue per headcount compared to the company average. This revenue is also growing more than two times faster than Genpact's overall revenue, with roughly 70% annuitized revenue and 70% from non-FTE models. Advanced Technology Solutions is high quality, sticky, and most importantly, strategically aligned to our future direction. Our rapid acceleration in AgenTeq reflects the strong foundation and client trust we have built over the years, as well as our leadership in advancing AI-led transformation. As BK mentioned, we closed over $200 million in AgenTeq contracts across new and existing clients in 2025, with more than 40% of awarded contract value coming from new clients. Within existing AP clients rotating to AgenTeq-led, we continue to see revenue and margin improvement driven by higher volumes, increased scope, or both, demonstrating the expansive opportunity of our AgenTeq investment. Core business services, which includes digital operations, decision support services, and technology services, grew 2.9% to $996 million in the fourth quarter, reflecting continued client trust and demand for our domain and industry expertise. Growth in core was offset by softness in decision support services as we continue to work through our go-to-market approach. In the fourth quarter, data tech and AI revenue increased 7.4% to $639 million, and digital operations increased 4% to $681 million. Non-FTE revenue, which captures our strategic shift to fixed fee, consumption, and outcome-based deals, represented 48% of fourth-quarter revenue. At a segment level, high-tech and manufacturing grew 9.9%, followed by financial services growth of 5% and consumer and healthcare revenue growth of 1.5%. Sales execution and demand remained strong, as we continue to make progress with new and existing clients. Existing client relationships continue to grow, demonstrated by our improvements in our net revenue retention rate. Our large deal momentum also continues. As noted earlier, in addition to the deals closed in the fourth quarter, we have a number of large deals awarded that we expect to close in the coming months, including some net new to Genpact. As a reminder, large deals are $50 million or more in total contract value. And across clients and cohorts, we are seeing a growing mix of advanced technology solutions pipeline and bookings. Turning to profitability, gross margin in the fourth quarter expanded by approximately 90 basis points to 36.6%. Over the past two years, our consistent track record of margin expansion reflects our disciplined approach to driving operational efficiencies, as well as an increasing contribution from our high-value advanced technology solutions. SG&A expense as a percentage of revenue was 20.3%. Adjusted operating income was $232 million, with adjusted operating income margin of 17.6%, as we continue to self-fund our strategic investments. Our effective tax rate in the fourth quarter was 24.2%, an increase from our prior year rate that was favorably impacted by a nonrecurring discrete item. Our full-year effective tax rate was 24.3%. Net income for the fourth quarter was $143 million, and diluted EPS was $0.81. Adjusted diluted EPS increased 6.6% to $0.97, faster than revenue growth for yet another quarter. We ended the fourth quarter with $854 million in cash and cash equivalents, up $207 million from a year ago. This quarter, we returned $129 million to shareholders through $100 million in share repurchases and $29 million in dividends. Turning to the full year, we delivered $5.08 billion in revenue, up 6.6% year over year. Advanced technology solutions increased 17% to $1.204 billion, and core business services revenue grew 3.7% to $3.876 billion. Data tech and AI increased 9.3% to $2.442 billion, and digital operations increased 4.1% to $2.638 billion. In 2025, we drove another 60 basis points of gross margin expansion to 36%, through rigorous operational discipline and our strategic focus on driving higher-value revenue streams. SG&A expenses as a percentage of total revenue were 20.3%, consistent with last year. We remain disciplined in managing costs by prioritizing strategic investments. Adjusted operating income grew 9.1% to $888 million, with adjusted operating income margin expanding 40 basis points year over year to 17.5%. Net income grew to $552 million. Adjusted diluted EPS increased 11.3% to $3.65, reaching a record high, growing faster than revenue for the fifth consecutive year. For 2025, we generated operating cash flow of $813 million, including $170 million from a client prepayment in the third and fourth quarters. Excluding this impact, cash flow from operations increased 5% year over year. Finally, we returned $401 million to shareholders through $283 million in share repurchases and $118 million in dividends. Turning to our outlook, which assumes the operating environment will remain relatively consistent, our strong execution, significant backlog, and rapidly accelerating demand for advanced technology solutions put us in a very strong position entering the year. As a result, we expect to deliver at least 7% growth for 2026 on an as-reported basis. This guide reflects committed revenue in line with historical ranges. In advanced technology solutions, we expect revenue to grow at least high teens for the full year, driven by ongoing demand for data and AI, as well as strengthening partnerships and continued momentum in AgenTeq. In core business services, we expect growth to continue, even as we help clients accelerate their AI-led transformations through agentic operations, and we increase our focus on driving sustainable growth through advanced technology innovations. Full-year gross margin is expected to further expand by 50 basis points to 36.5%. Adjusted operating income margin is expected to increase 25 basis points to 17.7%, reflecting our continued commitment to self-fund investments for growth. As a result, we expect adjusted diluted EPS to grow approximately 10%, again, faster than revenue. Regarding our capital allocation strategy, we continue to take a balanced and disciplined approach. We aim to return approximately 50% to shareholders through share repurchases and dividends, while maintaining flexibility for strategic investments. As a result, our Board of Directors has approved a 10% increase in our regular quarterly dividend to $18.75 per quarter and 75¢ on an annual basis. Turning to the first quarter on an as-reported basis, we expect to deliver total revenue between $1.282 billion and $1.294 billion, or 6% growth at the midpoint. We expect advanced technology solutions to accelerate from the fourth quarter to high teens growth year over year. And we expect continued growth in core business services. We expect gross margin to expand to 36.3% and adjusted operating income margin to increase to 17.3%. Finally, we expect adjusted diluted EPS of $0.92 to $0.93 for the first quarter. In closing, the unique combination of our last-mile expertise with advanced technology capabilities allows us to define how enterprises will operate in the future. With our Genpact Next strategy, we are innovating at scale to accelerate high-quality revenue growth and consistently expanding margins, all while further amplifying our differentiated position in the market. We remain committed to investing aggressively against the most strategic areas of our business to drive sustainable growth and improvements in our margin profile, with long-term partnerships that support improved economics for both Genpact and our clients. All this allows us to continue to grow adjusted diluted EPS double digits while driving long-term value creation. With that said, let me turn the call back over to BK.
Balkrishan Kalra: Before turning to Q&A, I want to extend my thanks to an incredible leader. Krista Bessinger is transitioning to a new role at Genpact in 2026. Krista, you have made a significant impact here at Genpact. Thank you. Thank you for your partnership. And I look forward to working with you in your new advisory role. With that, I also want to welcome Kyle Wickstrom as our head of investor relations and the newest member of our Genpact leadership council. Kyle joined us from Microsoft last spring with over twenty years of experience in various finance roles in technology. We are very excited to have her on board. And now let me hand it over for Q&A.
Operator: Thank you so much. And as a reminder, to ask a question, simply press 11 on your telephone and wait for your name to be announced. To remove yourself, press 11 again. One moment while we compile the Q&A roster. Our first question comes from the line of Bryan Bergin with TD Cowen. Please proceed.
Bryan Bergin: Hi, guys. Good afternoon. Thank you. Maybe just given the material pressure on the from announcements from Anthropic and others, maybe we just start off with whether anything has changed for you on the ground in contracting conversations, whether you see any instances of clients seeking to try to do more themselves. You know? I guess I am curious. Where do you see type in the market being just that versus where there may be some validity to the risks that some of the traditional models face?
Balkrishan Kalra: Sure, Bryan. Thanks. Let me take that. Look. I would say that we are incredibly excited with what is happening in Silicon Valley because it is accelerating our pivot. It is helping us drive outcomes for our clients faster. And whenever any of these tech shifts happen, it is always nuanced as to how it will apply to various different companies, and we clearly see this as a tailwind for us. We see that in our pipeline. We see that in our conversations. And if I just step back and maybe this is oversimplifying, Bryan, I see this as two main AI focus areas. One is, let us say, research AI, and the other one is task-oriented AI. You are probably referring to is more, you know, what is getting more attention these days in research AI, which is helping us accelerate our work. Where BCommon is more in task-oriented AI, and that is where we are building this agentic operations. We execute specific tasks within a process and making sure we are bringing in AI into the entire system of work, looking at the data, looking at the context, in these complex end-to-end business processes, which are unique to every industry. So fundamentally, if I see it from the operator lens as we speak to many Fortune 500 companies, not just the Frontier AI companies, we see our relevance increase. And we are seeing that, again, how our agentic operations are taken up, how data and AI are taken up. And what I would say is we are only seeing our pivot accelerate and only excited with this.
Bryan Bergin: Okay. Understood. And my follow-up will be on ATS. You had nice solid growth here again in the fourth quarter, 15%. Now you are calling for an acceleration off of that level. So I want to test just the fact driving that confidence. I heard plenty of activity in your prepared script. Just give us a sense of maybe ATS bookings growth and is there an acceleration of work that is coming out of CBS? And into ATS? Anything that is kind of mechanically migrating between the two? Thanks.
Balkrishan Kalra: I will answer it in two parts. And, Mike, feel free to give you a color. Point number one, I think we are beginning to see getting into a lot more conversations where we were originally not invited to, and I often have said that we are meeting where clients are, and, increasingly, we see that we can take them to where they want to be in a much faster manner. So we are, be it in large deals or mega deals, we are beginning to see into the conversation where we were earlier not invited, and that we see in our pipeline. Second, I think just from a core business services standpoint, we continue to see a very, very healthy demand because that is where we see last-mile advantage. That is where we have run mission-critical operations at scale. And that is where, you know, we understand the complexities and bring the process and technology conversation in one go. And fundamentally, what we have seen just agentic contracts grow, including with new clients, you know, 40% of the booking coming in from new clients or this contract value. You know, we are really excited. And even for the rotation, we see incremental revenue growth and gross margin growth.
Michael Weiner: Yeah. So if you may just double click on that for a quick second. So just if you really want to just think about it from that perspective in the sense of how do we view ourselves in terms of ATS growth at the rate that we are projecting in the high teens for 2026. It is really driven by the two things BK alluded to. First, momentum we have seen in the AgenTeq ramp-up has been notable. Right? We put forth we had a TCV of approximately $200 million in bookings. Where we ended the year, and that is going to accelerate more as you roll out additional AgenTeq related solutions. That will help pivot some of the revenue from the core business services. And a few comments on that, as we talked about in our prepared remarks, the quality and sustainability of that revenue is incredibly important to us. It is highly sticky and continues to grow at a measured pace. It is recurring annual revenue if you want to think about it from that perspective.
Balkrishan Kalra: I think maybe you know, what I am really excited about is how the shape of our business is changing. The pace at which it is changing. And more than a third of the booking is advanced technology solutions. And the majority of deals that in AgenTeq are obviously non-FTE, but driving consistent rec. Annual revenue streams. So the new commercial model is taking hold in a significant way.
Michael Weiner: Okay. Understood. Thank you.
Operator: Alright. Thank you. One moment for our next question. Comes from the line of Maggie Nolan with William Blair. Please proceed.
Maggie Nolan: You mentioned, I think, 40% of your TCV for the AP suite was new clients. I think that number was maybe closer to 30% last quarter. Are there patterns in who is adopting this? You know, are they different than the typical clients that would have engaged with Genpact or BPO in general in the past? And then can you give us some data on how you are thinking about addressable market growth as you roll out these solutions?
Michael Weiner: Thanks, Maggie.
Balkrishan Kalra: Look, I think it clearly points to significantly expanding our total addressable market. And as I have said that we have not seen takeoff of any solution in Genpact history at the pace that we are seeing this. And many of these new clients are obviously net new to Genpact. But a number of them are also our existing clients who are not using finance, but they have now begun to use our finance stack. So, fundamentally, it is the enterprise client. It is mid-market client. It is our existing clients who are not using finance using us for finance. So a combination of all of that is really enhancing. And this is also in many ways getting us into the core foundational work that we need to do for many of these clients.
Maggie Nolan: Okay. Thank you. And then have you noticed any improvements in the sales cycle or ramp times in the last ninety days or so, particularly in large deals, and I am curious what is contemplated in the full-year guidance with respect to those variables. And you sort of alluded to large deals in January being quite strong or those baked into the guide.
Balkrishan Kalra: Look. I think large deals have their correct. Some move at a very accelerated pace. And some take much longer. And especially as we bring more technology and process and data and all of these skills together, especially for larger awards. It does not move in neat ninety-day increments. But, really, thrilled with the number of these conversations, the pipeline, across cohorts, including large deals is at record levels.
Michael Weiner: Sure. May I have anything to add on to that, BK? So, Maggie, thanks for the question. Alright. You know, let me just bring this up a little. We are really confident in our guide at 7% on a full-year basis. So we look at everything that look at all deals. We probably weight them as we move forward and in our business. But a few things I want to just quickly talk. We think about the 7% number for us. We look at it in an absolute dollar perspective. Right? So we grew last year a little over six and a half percent and roughly the same number a year ago. So it is not a Herculean effort for us to grow at that rate for next year. But I would also like to just point out that our committed revenue is in line with historical averages. Which is about 75-ish percent. And again, this is all built off of a significant backlog which is at record levels, which takes into account 2025. Bookings as well as an exceptionally strong 2023 and 2024. So we feel really good about that on a go-forward basis. And specifically regarding your question, all deals are probability-weighted into how we look at the guide on a prospective basis.
Maggie Nolan: Thank you. Congrats.
Operator: Thank you. Thank you. Our next question comes from the line of Surinder Thind with Jefferies. Please proceed.
Surinder Thind: Thank you. I would like to touch base on the margins starting with the gross margins and the expectations of 50 basis points of expansion. Can you walk me through the levers that you are using there, and then what is the potential to kind of continue that trajectory as we look further out into '27 and '28?
Balkrishan Kalra: Maybe I will start, and Mike, feel free to comment on it. Look, fundamentally, it is a shift to advanced technology solutions, which is giving a higher value to our clients. And it is a higher value revenue for Genpact. And we have been talking about it for a bit, and now I think it is picking up the momentum. We see that come through apart from the disciplined operational capabilities that we are driving. But it is more from advanced technology solutions. And, you know, I will not like to opine on what will happen in 2027-2028, but fundamentally, our trajectory is clear as we have demonstrated over the last couple of years and increased the margin by 90 bps or 100 bps over the last two years. And we are very clear that it will certainly grow further in this year as we have guided the street.
Michael Weiner: Yeah. Two just quick add-ons to that, Surinder. So when you know, as BK alluded to, right, at the increased mix from ATS, right, particularly that, you know, we see these non-FTE commercial models really support our margin in that business. In addition to it, if you think of our margin in totality or the AOI margin we lay out, remember that grew 40 basis points year over year. That is net of significant investments made in our organization. So we feel very good about our margin trajectory on a go-forward basis.
Surinder Thind: That is helpful. And I guess as a point of clarification, what I was trying to tease out here is this idea that is this predominantly a mix shift benefit that you are receiving or are there other benefits that you can get from just from the delivery footprint and you know, the AI advances that we are seeing. I was just trying to understand that component here.
Michael Weiner: Yeah. So correct. So the mix shift component, the nature of the work we do in ATS, we just alluded to is one component of it. But if you are thinking about it from a client zero perspective, which is how we think about our organization, and using AI and everything and how we are training our internal organization. Yeah, that has helped perpetuate the growth and the efficiencies that we are seeing in our own business. Remember, we come to the term client zero because we are embedding technologies in everything that we do. Right? I disproportionately focus on functional areas, and I have seen that technology pay off. Right? And we are using that we are using some of that benefit to invest in the future of our organization. So I think it is both things. I think you are correct.
Surinder Thind: That is helpful.
Michael Weiner: And then following up on the comment about this is all net of the you are making a lot of investments, and so, obviously, you are still seeing some good adjusted operating income margin expansion. You kind of use the terminology that you are investing aggressively in strategic areas. Can you elaborate on that in the sense of can you do more, and is it how do you balance the level that you want here? Because when we look at you know, other I will use the extreme example is just you know, the hyperscalers. You know, their CapEx spend this year is coming in much, much higher than anybody is anticipating. So it always seems like there is the ability to invest more. How are you drawing that line?
Michael Weiner: So I will kick it off on here, Ravi. So remember, what we are doing, there is not a tremendous amount of CapEx associated when we talk about investments. In totality. Right? We do run a very disciplined process in the organization. Right? We look at the ROIs and the strategic implications of every one of the investments that we do. Right? Is there always a greater ask that we are willing to do? We evaluate that on a quarterly basis. We do it in a very disciplined fashion. Right? But what I will say is from an investment perspective and things partnerships, which was called out in quarters past to training, we are not pulling back from that by any stretch. You know? We are investing quite a bit of the operating leverage of the business in the future strategic investments and a whole core whole course of things.
Balkrishan Kalra: And I think there are clear areas of our investments, Surinder, that we have laid out. Partnerships we have laid out, we continue to invest more and more in that. We have laid out in building the talent. We are increasing that more and more. You know, I talked about agentic ops and so on and so forth. This is all the product investments and the engineering investments that we have done. Sales investments, and the front-end investments we are doing. So we are changing the business. That is what I mentioned. The shape of the business is changing very fast. And may I say we are no longer the company that we were two years ago. And really proud as to the speed and the pace at which we are moving.
Surinder Thind: Thank you.
Operator: Thank you. One moment for our next question, please. And it comes from David Conning with Baird. Please proceed.
Michael Weiner: Yeah. Hey, guys. Great job. I guess my first question is really on pricing. And our clients, it seems like coming to you at an increasing pace. That is great. Are they coming with greater expectations of the ability to drive more efficiencies? Are you having to change dynamics, like, faster kind of efficiency gains in their contracts or anything changing in the dynamic of the backdrop?
Balkrishan Kalra: Maybe I will take first and feel free to opine you know, overall might look fundamentally how I will think about it is yes, aspirations are high. Overall aspiration of whatever everybody is reading, and therefore, what can happen in their businesses is high. And so is true in pricing as well. But what we are able to so I will say it in two parts. First thing is think of it as simple as p times q. And in p times q, yes, we are giving in more productivity to our clients. But our costs are offsetting at a much faster pace, and that is what you see in gross margin. And as far as our top line is concerned, we are getting you know, a bigger share or, you know, more scope that for the same body of work, we are able to that is what we reported that in AgenTeq you know, our revenue growth is much higher than what we reported in June. So I think there is that is why we are saying that we are creating higher value solutions for our clients. And we are gaining in the process. The second piece I will also say is how we are working with our partners and leveraging partner ecosystem as well as embedding solutions at the last mile and they are repeatable in nature. And therefore, I think we are gaining as a leverage point there as well. Mike?
Michael Weiner: Yeah. I you know, the way I think about it is it just I look at our gross margins. Right? And I look at the gross margin expansion that we have and the gross margin expansion that we are guiding for. Right? I think that is really the best measure on how we are doing this. Right? So, yes, as BK alluded to in the beginning of his comments, there is always productivity asks. Right? We have seen nothing dramatically change from the past. But it is always been there and it is not going to go away. And I think our ability to navigate through that thus far and what we are projecting has been quite impressive.
Balkrishan Kalra: Yeah. Construction-based structures are taking hold, so that is giving us more leverage.
David Conning: Yeah. Okay. And that is great. I guess and a follow-up question. When a company, let us say, they are brand new to outsourcing. They have not thought of AI too much yet. They are in the forefront of thinking about it. Who do they first turn to? Is it you guys? Is it, you know, the you know, one of the bigger tech companies? Like, are you at the kind of the tip of the spear like Genpact's our first call to, like, start this all out, or who do they go to?
Balkrishan Kalra: Look. I think, this is what I was referring in one of my earlier comments that over last year or so, we have begun to see and sit on the table where we were usually not invited. Because we are bringing the process technology, data, you know, and how to run mission-critical operations at scale, all in one dialogue, all in one conversation. And that is really accelerating our pipeline, and, you know, you see the progress thereof. And you know, we are talking about advanced technology solutions growing 17%. And we are saying for next year, our view is it will grow on top of 17% this year, another 17% at least. So we see that in our pipeline. We see that in our momentum. And, yes, I think we are getting invited. Where we were not earlier invited, so feel really thrilled about that.
David Conning: Yeah. Alright. Thanks. Nice job.
Operator: Thank you. Our next question comes from the line of Puneet Jain with JPMorgan. Please proceed.
Michael Weiner: Hey, thanks for taking my question. I wanted to follow-up on agentic solutions when you offer, like, AgenTeq operations or AP solutions. Who is the decision maker within client organizations? Is it like, the business managers? Or the CIO office? Who is driving the charge towards embracing the Genetic AI within your clients?
Balkrishan Kalra: Yeah. Look. I think it is always a combination of both. When we were just talking about running mission-critical operation, obviously, the business wise is much bigger. Fundamentally, now as you need to intersect and need to weave in all of these agents into their complex system roadmap. Clearly, their CIO or CDIO, they are an integral part of the equation. And therefore, you know, that is the other piece where we are getting invited when a CIO, CDIOs looks at how we are thinking about agentic operations, how agents combined with human expertise how overall underpinned with responsible AI governance, our all of the framework we are getting invited in more and more dialogue.
Puneet Jain: And then on the last deals, that you have closed this year, what is driving that increase of the trend? Like, are these like deals typically rebadging comp? Like, do these deals have rebadging components? Meaning that they are coming from clients in-house operations? Are these AI-led deals? What type of work are you typically seeing in those deals?
Balkrishan Kalra: Look, operations and maybe you are referring to talent transfer and others. Been an integral part of our model. And there is nothing special about that. Clearly, what is special is that you know, a lot more of our clients have begun to see that bringing you know, we have been running these mission-critical operations. Sometimes they are running themselves. But how we are bringing agentic operations in those mission-critical operations. Therefore, some of those demands, spigots are opening up more. And, you know, we are getting invited into even GCC conversations. That, hey. Why do not you take up the center? And run it for us? Because that is not what their expertise is in there. That expertise has begun to shine more and more.
Puneet Jain: Got it. Thank you.
Operator: Thank you. And our last question will come from the line of Bradley Clark with BMO Capital Markets.
Balkrishan Kalra: Hey. Thanks. Just one for me. Just so I think it is clear that, you know, trend with your business are strong right now and in the BPO industry with really strong pipeline, expected acceleration in ATS. And I guess I want to shift focus to, like, long, like, long-term durability, like, the demand of customers needing help, you know, implementing a lot of different solutions, your own solutions like your IP solution into these processes that had previously done mostly manual labor. And I guess we want to understand, like, what is the tail of these types of projects or services for clients? Are you, like, once you help them implement the solution, whether it be, you know, your AP agent, the solution or a third-party agentic solution. You know, how did growth come after that?
Balkrishan Kalra: Look, I think these are, you know, I am talking is more from an operator lens you know, what we see every single day. And fundamentally, it is, you know, when I am talking about API centric solution or for that matter, record to report or insurance, these are just very initial solutions that are taking hold. And please understand each of these solutions are building recurring annual revenues for Genpact. And that is what the commercial model is. And these are clearly as we see it, shaping the business in a very significantly different ways. And like I mentioned in my previous comment, more and more of our clients especially mega deals, they have begun to see that the benefit of agentic operations, especially running finance, supply chain, some mid-offices, claims operation, underwriting operations, banking operations. It is how we bring in agents with human expertise in a responsible AI framework so that they get enabled at the front end. They can gain market share, and they can focus where they need to focus. So we really see this as a long-term change. That is building a long-term business for us in a meaningful way. Thank you.
Operator: Thank you so much. And this will end our Q&A session. I will pass it back to management for final comments.
Balkrishan Kalra: Thank you. Thank you, Carmen. Look. I just want to take the opportunity and thank all of the employees, you know, across the globe, you know, who make, you know, what Genpact is becoming possible. So my deepest thanks to all of them, and, most importantly, to our clients who are choosing Genpact. And also to our shareholders for their ongoing support. 2025 was an incredible year. Set us up for even better credible year in '26 and beyond. And I look forward to showing you more and more of that, and I really do want to thank you all. Thank you.
Operator: Concludes our conference. Thank you for participating. You may now disconnect.